Operator: Good afternoon. Welcome to Wireless Ronin Technologies Second Quarter 2013 Earnings Call. My name is Marissa and I will be your conference operator this afternoon. Before we begin today’s call, I would like to remind everyone that this call will be available for replay starting later this evening. A webcast replay will also be available via the link provided in the earnings press release as well as available on the company’s website at wirelessronin.com. I would like to turn the call over to Erin Haugerud, Wireless Ronin’s, Manager of Communications and Investor Relations. Please go ahead.
Erin Haugerud: Thank you and welcome to Wireless Ronin’s second quarter 2013 earnings call. With me today are Scott Koller, President and CEO and Darin McAreavey, Senior Vice President and CFO. Following Scott’s opening remarks, Darin will review our financial performance for the quarter and turn the call back over to Scott for an operational update and business outlook. Then we will open up the call for your questions. To access today’s webcast, please go to the Investor Section of our corporate website at wirelessronin.com. Please note that the information presented and discussed today includes forward-looking statements made under the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Our actual results in future periods may differ materially and you should not attribute undue certainties to our forward-looking statements. Risks and uncertainties that could cause our actual results to differ from those expressed or implied by forward-looking statements, including those set forth in the cautionary statements in the company’s current report on Form 8-K filed with Securities and Exchange Commission on May 23, 2013. In addition, our comments may contain certain non-GAAP financial measures including non-GAAP operating loss and non-GAAP operating loss per share. For additional information, including reconciliations from GAAP results to non-GAAP measures, how the non-GAAP measures provides useful information and why we use non-GAAP measures, please see the reconciliation section of our press release, which appears on our corporate website. Now I would like to turn the call over to President and CEO, Scott Koller. Scott?
Scott Koller: Thank you, Erin. Good afternoon everyone and thank you for joining us on today’s call. The second quarter of 2013 marked our first positive non-GAAP operating income quarter. This milestone was driven by strong revenue growth and our continuing initiative to effectively control cost. In the quarter, we announced the strategic partnership with Delphi Display Systems that we believe positions Delphi and Ronin for success in the QSR and other select market. The Delphi relationship coupled with sales to both new and existing customers like Indian Motorcycle and ARAMARK generated record gross margin and gross profit. These wins continue to demonstrate our successful transition from a hardware centric company to a marketing technologies solutions company including adopting a higher margin software and services business model. New orders from long term customers like ARAMARK the ongoing upturns we enjoyed to upgrade and expand these existing deployments. In addition, we saw our first traction with Delphi MedMedia has selected Delphi to install Delphi’s digital science network powered by RoninCast across MedMedia’s 50 Southern California healthcare office. I will talk more about these wins and other operational highlights in a few minutes but first I’d like Darin to take us through the financial performance for the quarter. Darin?
Darin McAreavey: Thanks, Scott. Good afternoon everyone. I’m excited to report that Q2 marked the company’s first quarter of profitability on a non-GAAP basis. Now let’s drill down to what drove this record. Second quarter revenue was up 69%, 2.6 million, 1.6 million in Q2 of 2012. For the six months ended June 30th, revenue was up 21% to 4 million and 3.3 million in the comparable period. The increase was due to the $750,000 license sale to Delphi Display Systems as well as new orders from Indian Motorcycle and ARAMARK. Q2 recurring revenue from our hosting and support services increased 3% 489,000 or 19% of total revenue up from 474,000 or 30% of total revenue in Q2 of 2012. For the first six months of 2013, recurring revenue totaled 984,000 or 24% of total revenue compared to 941,000 or 28% of total revenue in the same year ago period. The increase in recurring revenue was driven by continued expansion of support services to more nodes supported by our company’s network operations center. Q2 gross margin was a record 1.8 million or 69% of total revenue compared to 945,000 or 61% of total revenue in Q2 of 2012. For the first six months of 2013, gross margin was 2.6 million or 64% of revenue compared to 1.9 million or 57% of revenue in the same year ago period. The increase in gross margin percentage was primarily due to the $750,000 software license sale recognized in the quarter. Our ability to maintain similar gross margin levels on a percent basis can be impacted by shifts in our sales mix. Total operating expenses in Q2 of 2013, decreased 12% to 1.90 million from 2.2million in Q2 of 2012. For the first six months of 2013, total operating expenses decreased 18% to 4 million from 4.9 million in the same year ago period. We continue to remain focused on effectively managing our cost and overhead. Q2 2013 net loss totaled 76,000 or $0.01 per share, an improvement from a net loss of 2 million or $0.26 per share in Q2 of 2012. As Scott noted, the second quarter marked the lowest net loss of the company’s history. The first six months of 2013, net loss totaled 1.5 million or $0.27 per share an improvement from 3 million or $0.66 per share in the comparable year ago period. Improvements in our net loss was primarily due to decreased operating expenses and effective cost management. Non-GAAP operating income which we defined as GAAP operating income minus stock based compensation, depreciation expense, severance cost and other onetime charges, totaled 77,000 or $0.01 per share. This was an improvement from a non-GAAP operating loss of 1 million or $0.22 per share in Q2 of 2012. For the first six months of 2013, non-GAAP operating loss totaled 1.1 million or $0.20 per share, an improvement from 2.4 million or $0.53 per share in the same year ago period. Further discussion about how we use our non-GAAP operating loss and a reconciliation to GAAP can be found in the related press release available on our website. Now turning to the balance sheet. At June 30th, we had 2.2 million in cash and cash equivalents compared to 3.1 million at the end of the prior quarter. At the end of both periods, we had an outstanding balance of 400,000 on our line of credit at Silicon Valley Bank. This completes my financial summary. For a more detailed and complete analysis of these results, please reference our forthcoming Form 10-Q. Now I’d like to turn the call over to Scott. Scott?
Scott Koller: Thanks, Darin. We continue to diversify our pipeline and advance our industry leading technology offering as demonstrated by major second quarter wins. We received a purchase order from ARAMARK to launch Wireless Ronin’s marketing solutions across more than 230 promoting nutritional information at select universities nationwide. The 452,000 order included hardware, software and technical services as well as annual hosting and support. We have delivered this order and are in the process to installing the solutions at these universities. We believe this implementation of new digital menu boards and promotional screens signals the food industry’s growing adoption of nutritional labeling. We look forward to expanding our relationship with ARAMARK and are confident that our solutions will continue to drive ROI. Also during the quarter, we were selected by Indian Motorcycle a Polaris industries company to deploy RoninCast to an initial 35 dealership nationwide. We anticipate Polaris will further its expansion to additional Indian dealership throughout the remainder of 2013. The $267,000 order provides the necessary hardware, software, engineering, implementation and training as well as content hosting. We worked closely working with the Indian team to create a truly interactive in-store customer experience that matches the ease functionality and interactivity of Indian’s existing media assets. The solution will provide individual dealership the flexibility to display local pricing, and other custom information on digital signage and other handheld devices while maintaining corporate level control of the primary branding and the advertising messages in real time. While this plan represents our first entry into the power sports industry, it builds upon our 20 year history of success with the automotive industry including our deployments to hundreds of Chrysler, Fiat, Ford and Nissan dealerships across North America. This flagship deployment will help us establish a in the motorcycle market and the broader power sports market which is known for its exhilarating and cutting edge technology. We believe this is an ideal market to showcase our robust interactive digital marketing solutions. This will demonstrate the value RoninCast offer brings to our in users as well as our ability to develop complex integrated marketing technology solutions. We collaborated with Indian to design an interactive digital marketing solutions that allows (inaudible) between screen from large displays and in-store kiosks to tablets and customer smartphones. We are confident that this omni-channel solution will provide unmatched customer experience. We’ve also begun to gain traction with our new partner Delphi Display Systems. Delphi is currently installing digital science solutions at 50 MedMedia healthcare network locations with plans to install 500 additional locations over the next 12 to 18 months. Delphi was selected to provide a turnkey digital signage solution each RoninCast offer and the waiting room of MedMedia’s doctor’s office in medical clinics throughout Southern California. Delphi will manage the procurement and installation of the digital science hardware and provide creative design, hosting and content managing services for a three year period. We believe this deployment reveals the transformative nature of our relationship. Delphi extends our sales reach for RoninCast offer enabling us to focus our resources of our growing pipeline of opportunities in the automotive, retail, food service and fast casual markets. In summary, I’d like to emphasize three key points. First, we continue to make tremendous progress advancing our technology and in fact we are set to release RoninCast 4.2 later this year building off the successful RoninCast 4.0 released in February. The upgrade expands the functionality and interactivity of the platform providing seamless communication between screens and mobile devices to deliver content to adjacent screens. Delphi chose to partner with us because of the robust capabilities and well architected HTML file based platform of our RoninCast offer as well our shared vision for providing a true omni-channel customer engagement experience. Our partnership with Delphi represents a key milestone of our (inaudible) in 2011 from a digital science provider to a marketing technologies company. Secondly we continue to effectively manage cost and further optimize our expense structure. These initiatives have allowed us to decrease our operating cash burn to less than 1.5 million in the first half of 2013 versus 2.5 million in the comparable period last year. On July 29th, we implemented a restructuring plan to design conserve our cash resources and to further align our ongoing expense with our business by focusing sales efforts on high potential customers and prospects preserving the research and development effort required to maintain and enhance our RoninCast software in consolidating certain positions. We expect this restructuring to reduce annual operating costs by approximately 1.3 million which we believe will provide us the additional run rate to continue pursuing strategic and financial alternatives. Finally, our expectations remain high as we build upon the momentum we’ve established and see a widening pipeline of growth opportunities particularly with existing customer and partner relationships. As demand for our new marketing technologies continues to build, we are well positioned with industry leading solutions and mark key customer base. We believe these key factors will help us expand our market share and further penetrate our target markets. The company’s board, executive team and our employees are committed to Wireless Ronin’s long term success. We seek to achieve that success by continue to grow within our existing clients, obtaining new clients and managing our expenses. If I can use the baseball analogy, gone are the days when we were dependent only on home runs to be successful. We continue to pursue large scale deployment but are no longer dependent on them to be successful. We have positioned the company to be successful with a mix of projects ranging from pilot to smaller intermediate projects as well as large scale roll out. In baseball terms, we are always looking to hit home run that we will happily hit both singles and doubles. When the home runs come, we are well positioned to scale and grow revenue at an accelerated pace. We’ll use every means available while seeking to make Wireless Ronin successful. Now with that we are ready to open the call for your questions. Operator, please provide the appropriate instructions.
Operator: Thank you. Ladies and gentlemen that does begin the question and answer session. [Operator Instructions]. Your first question comes from the line of Rick D’Auteuil of Columbia Management.
Rick D’Auteuil – Columbia Management: Rick’s okay. Hi guys.
Scott Koller: Hey Rick.
Rick D’Auteuil – Columbia Management: Just I know there was some thoughts about pursuing other Delphi like opportunity and may be that fits with other industries. Is there a pipeline of these kind of discussions that are going on?
Scott Koller: Rick I don’t know if I’d call it a pipeline but there are those types of discussions going on at this point in time. Any time we can expand our sales reach with a partnership like Delphi into a vertical that we are not focused on today with our resources, we’re pursuing that. So yes there are ongoing discussions going on I just don’t know if I’d classify as a pipeline of discussions.
Rick D’Auteuil – Columbia Management: I mean a handful is that a fair
Scott Koller: Yes Fair enough yes
Rick D’Auteuil – Columbia Management: Okay. So would you hope to conclude any of those by year end any of the ones I don’t know what stages you’re in but
Darin McAreavey: We’d like to conclude them if the correct relationship for the company we’d like to include them as soon as possible so yes we’d be working on executing on something that makes sense for the company as soon as we possibly can.
Rick D’Auteuil – Columbia Management: Chester was a new relationship a quarter or two ago can you bring us up to date on status of their roll out?
Scott Koller: Absolutely. Chester has been slow to launch. We have been working on content digital assets for the company for both the menu board and the promo of the LTL solution. But however, just recently, within last few days we received orders for four locations for menu boards and we expect that to ramp up very quickly moving forward. It has been slow but they have been out marketing it, they have been pursuing it they’ve been talking to their franchise locations about it. And I think we’ll see faster traction if you will faster adoption moving forward.
Rick D’Auteuil – Columbia Management: Okay. What’s the total opportunity there at this point?
Scott Koller: Total opportunities for the year is 300 new locations but overall they have additional 2,000 locations which has an opportunity to go into.
Rick D’Auteuil – Columbia Management: Okay. Any reason they haven’t pulled back on putting you in at least into the new locations?
Scott Koller: Like I said over the last few days we have received orders for new locations. It’s been a process of aligning their resources for digital assets which is something they haven’t done before. So we can get dynamic content done for the application. We’re in the middle of that endeavor but however, we are starting to get orders for new stores.
Rick D’Auteuil – Columbia Management: Right
Scott Koller: It has – As I said in the beginning it ramps slower than we expected but we expect to see a faster adoption moving forward.
Rick D’Auteuil – Columbia Management: Okay. So then on – is the franchisee decision maker or the corporate?
Scott Koller: It’s both. It’s both the promo and the LTL board are being sponsored by Chester themselves before menu board is a cost or a sell to the franchisees so it’s a combination of both.
Rick D’Auteuil – Columbia Management: And I can’t remember if this was the last quarter but in a recent conversation over the last three months with you guys, the QSR RFP pipeline were up the pipeline was building nicely. And the expectation was to get our fair share has there been any awards in the space from that or is it still
Scott Koller: Not just a conversation (inaudible) hasn’t been anything award I can tell you that Delphi is actively pursuing doing QSR. It has several opportunities they’re working on and we have begun to see traction. However, no here hasn’t been any award at this point in time no
Rick D’Auteuil – Columbia Management: Even a competitor at this point?
Scott Koller: Not that I’m aware of.
Rick D’Auteuil – Columbia Management: Okay, okay. And they have the doors opened – Delphi has the ability to open the doors there?
Scott Koller: Absolutely that was the reason for the partnership. They have a sense of experience in QSR they have long lasting relationships and they have a very good reputation in that space which made the partnership make so much sense to us. So yes they have the ability to expand us rapidly in that space.
Rick D’Auteuil – Columbia Management: Polaris nice win there congratulations. The Indian name is just one of their brands? Is there an opportunity to expand your technology to potentially some of their other motorized vehicle?
Scott Koller: Absolutely. And there are plenty of opportunities throughout the other brands and hopefully we can talk more about that in the future calls but yes there are plenty of opportunity to go beyond Indian within the Polaris family.
Rick D’Auteuil – Columbia Management: Thanks again and congrats on getting the breakeven price.
Scott Koller: Thanks Rick. Appreciate it.
Operator: Thank you. [Operator Instructions]. Our next question comes from Jack Frid with Discovery Investments. Please go ahead.
Jack Frid – Discovery Investments: Scott and Darin.
Scott Koller: Hey Jack.
Darin McAreavey: Hey Jack.
Jack Frid – Discovery Investments: Good afternoon when you look at kind of with your – looking at the pipeline with Delphi or other price you start looking at it I mean did you put any significant either timeline or potential value on which you’re working on?
Scott Koller: As far as our pipeline goes?
Jack Frid – Discovery Investments: Yeah, I mean –
Scott Koller: Well, yeah, I mean Delphi is building their pipeline and their pipeline of opportunity if you will I don’t know the specific dollar amount to that what it represents. Our pipeline builds in two ways. We bring on new wins such as Polaris and there is the potential there and hopefully we’re going to be able to talk about more in the future. And in the pipeline continues to build the existing customers like ARAMARK which demonstrated in the quarter with the menu board initiative. The pipeline is robust if I had to put a number on it I think I would be just guessing at this point in time I focus from our standpoint on the near term and quarter over quarter and that’s where our focus is. So it is an extensive pipeline. It has some new clients potential clients and current clients and it’s robust and it continues to grow. And the biggest thing I like about it is the RFP activity and the job Jane Johnson has done to diversify the pipeline we’re not as dependent on one, two, three existing customers. It is diverse and robust so it continues to grow and we hope to land more of them and let our investors know about it.
Jack Frid – Discovery Investments: Would you expect that for example with ARAMARK now usually the September quarter is a pretty good quarter before (inaudible) and then the fourth quarter in December what’s the expect on what you’re seeing or what
Scott Koller: I would expect to see is the same annual increases as we’ve seen in years past.
Jack Frid – Discovery Investments: Okay. And can you comment about price I know they had their inventory or equipment from the past I thought we would get to balance at the end of that and what’s the timetable that you would hope that they would start to reorder?
Scott Koller: We know adoption continues there we know they are at the very end of the inventory we are working very closely in order EWI provider to increase the footprint of iShowroom. They continue to invest extensively in iShowroom from a content basis and as we talked about before leveraging that content over more kiosk get dealerships is one of their primary initiatives. So we see expect to see further adoption I don’t have any transparency to it right now but yes we expect that deployment and that network to grow.
Jack Frid – Discovery Investments: And one last question Nissan what do we expect with Nissan?
Scott Koller: We’re currently still working with Nissan on exactly what potential is there. We have a good relationship with the client. They are looking at what they want their overall digital marketing program to look like. We are the one they are talking to about that. So hopefully in the future we’ll be able to talk about what that would exactly look like.
Jack Frid – Discovery Investments: Are there auto manufacturers I mean are we making some progress with the other auto manufacturers?
Scott Koller: Absolutely, we generated interest last review you saw where Alan Buterbaugh attended generated and had some clients visit since. So, yes, again, it has always been a very big focus of ours and right now it’s still a very big focus for us.
Jack Frid – Discovery Investments: Okay. Thank you.
Scott Koller: Thanks, Jack.
Operator: Thank you. [Operator Instructions]. And our next question comes from the line of Doug Richard with Feltl. Please go ahead
Scott Koller: Hey Doug.
Doug Richard – Feltl: Thank you. Hi Scott and Darin how are you today?
Darin McAreavey: Good, fine. How are you sir?
Doug Richard – Feltl: Good. Well, congratulations on the quarter. I guess my big question probably directed more to Darin is with the 750,000 that came to the company from Delphi that of course would have to be made up somewhat in the third quarter. And I guess with your reduction of some personnel and expenses, my question is where do you end up may be what you think could be a breakeven quarter revenue wise looking at those two items?
Darin McAreavey: Yes, if you look at the past quarter we had 69 point some gross margin I would say it would be an aberration given that we did have a lot of revenue approximately of 35% was tied to software which is obviously a very high margin revenue line for us. So if you look at our historic margins which has been in the mid-50s based on these reductions we should see our breakeven come down below 3 million right around 2.7 million to 2.8 million that would be an EBITDA non-GAAP breakeven.
Doug Richard – Feltl: Okay. Next question I guess is addressed more to Scott. You signed agreement I guess it was through Delphi with a jewelry store chain in Ohio how are you progressing with that?
Scott Koller: We did sign that and Delphi was not included in any conversation with us to clear any retail client Yeah and I can’t really add any transparency to that in this point in time.
Doug Richard – Feltl: Okay.
Scott Koller: For competitive reasons and by the customers’ request I can’t talk about that relationship at this point in time.
Doug Richard – Feltl: Okay. Understand that. One small item from way back when anything with Sprint I think there was something going in there in 2011?
Scott Koller: Yeah we don’t have a whole lot of traction with Sprint. That relationship wasn’t quite as concrete as our current partnership with Delphi and we’ve just haven’t seen a lot nor have seen spent too much with digital signage or marketing technologies period. No it hasn’t yielded awful lot.
Doug Richard – Feltl: Okay. One more question Buffalo Wild Wings, where do we stand there?
Scott Koller: We continue to be deployed with Buffalo Wild Wings and there is really nothing to talk other than that at this point in time. We continue to have deployments within Buffalo Wing Wings but really nothing else to discuss at this point in time.
Doug Richard – Feltl: Okay Thanks so much guys because that answers all my questions
Scott Koller: Okay.
Operator: Thank you. Our next question comes from George Melas with MKH Management. Please go ahead.
George Melas – MKH Management: Good morning gentlemen I’m new to the story so I have a question on the recurring revenue I just see that I think you mentioned it’s hosting in sports services Can you talk a little bit more about what kind of services you provide there and how many companies you provide that too?
Darin McAreavey: The services are sort of à la carte depending on the client. It can range from us hosting the help of the network, scheduling content avoiding content and mastering the entire network. It’s ranging to just monitoring the health to just tier 1 or tier 2 support. But primarily the services that fall under that line is the deployment of content, content management, scheduling, hosting of the hardware and the software to ensure that the network is up and running smoothly
George Melas – MKH Management: Okay.
Scott Koller: And we have over 100 customers that use the network operation center for those services
George Melas – MKH Management: Okay. And if you have 100 customers on average if they roughly $5,000 per customer are there few that’s been a lot more
Scott Koller: Absolutely it really depends we have clients who do not use our software at all and rely on us 100% to manage their network which would be a higher cost per node if you will on a monthly basis. To clients that really only utilize this for tier 2 backup support during normal business hours which would be on the lower scale on the hosting services, I believe if we do the math overall we’re averaging somewhere to $35 to $40 per node from us to host the network. So it really does vary George based on the services they were providing.
George Melas – MKH Management: Great.
Scott Koller: Which is unique to each client.
George Melas – MKH Management: And per node would mean per restaurant for example or per dealership?
Scott Koller: No, per media player which is tied to either one or several displays but per node is for example there could be five nodes within a QSR for a menu board application. So we average out to that but again other people have scales. So it really does vary anywhere from the high end of around $65 per node to the low end around $15 node.
George Melas – MKH Management: Okay Great. Thank you very much. Appreciate that.
Scott Koller: Thanks George.
Operator: Thank you. Our next question comes from the line of Tom Peirce. Please go ahead.
Unidentified Analyst: Thank you Hi guys
Scott Koller: Hey Tom
Unidentified Analyst: Just a couple of quick questions I was thinking about ARAMARK you’ve been dealing with those for three or four years many deployments with them but I recall ARAMARK has many, many universities and I don’t recall that number but what’s your chance of getting in the most of the universities?
Scott Koller: We have been part of several of their food brand solutions for a long time. We talked about Topios before we talked about Burger Studio and when they create a brand and they make the title partner of that brand so as they bid on new services and new universities and existing universities to renew their food services contract if those brands are part of that package then we’re included. We’re not included in every brand but we are included in some of the – in a lot of their brands. So it’s really dependent on their renewing of the food service contracts resetting in the food area on how much traction we’ll get there. So we don’t have a lot of line of sight to it we’re out there diligently to grow their business as they grow their business, we grow ours.
Unidentified Analyst: Okay. Thank you another question and Jack was asking about Polaris little bit I didn’t catch all of his whole answer whole question by Polaris I look back and see how many different dealerships they had it was two years old I didn’t catch more of that. But they had the of it 1,500 different dealership covering everything. And what are the odds of you getting into some of these different angles with them?
Scott Koller: I think the odds are extremely good. Obviously counting Polaris in the Indian division and the initiative see opportunity in marketing technologies. We need to execute on our current endeavor with them in Indian and if we execute and you have a company that lives in that type of customer experience there is always going to be opportunities to expand and we’re very excited about the possibility of expanding our partnership with Polaris.
Unidentified Analyst: They are launching their Indian Motorcycle this Saturday at Sturgis so anyway you’re going to be down to Sturgis?
Scott Koller: We’re sending Darin up officially to represent Ronin to be there.
Unidentified Analyst: Alright. Thank you very much
Scott Koller: Thank you.
Operator: Thank you. [Operator Instructions]. Our next question is a follow up from Rick D’Auteuil with Columbia Management. Please go ahead
Rick D’Auteuil – Columbia Management: Yeah I can take up too many left uncovered but how about the Thomson Reuters and Charles Schwab
Scott Koller: We’re continuing to work with Thomson Reuters on the opportunity. We did deploy the extensive when we talked about on the last call but there is opportunity further for us and Jane continues to work extremely hard on that one. But we have other opportunities primarily international based for Thomson Reuters as well. So we continue to have a relationship there and we execute it very well on the Charles Schwab endeavor so we hope that leads to opportunities.
Rick D’Auteuil – Columbia Management: International ones more active or is it early stages?
Scott Koller: I would guess if I could speak for Jane that we have seen more activity internationally than we’ve seen on the domestic level. Do yeah I think you’re correct there.
Rick D’Auteuil – Columbia Management: Thank you again.
Scott Koller: Thank you, Rick.
Operator: Thank you Rick. Our next question is a follow up from Jack Frid with Discovery Investments. Please go ahead.
Jack Frid – Discovery Investments: I just wanted to touch a little bit on the calorie count you referred in the way from the FDA number one and second part of the question is at the end there is 300,000 restaurants I think that’s an old number from couple of years ago I read some place. And can you comment about the potential between Ronin and Delphi and what could we reasonably possibly expect to capture that part of market or piece of market I should say?
Scott Koller: Yeah the only comment I can make on the government is that the imitative for calories continues to be part of the Obama healthcare plan. So until it’s carved out of that we have to see a lot of traction from the government. But I will tell you even with that said, easy QSR is looking at calories and I think all of us know it’s inevitable that they are going to have the calorie information up on the board and probably further on after that address allergens and several other nutritional facts on the menu board. So I think the need to integrate data real time data or data based information into the menu board will grow. It is on the mind and it’s been with ever since with QSR. We’ve talked to and now the Delphi talks to. I think again Delphi’s well positioned with the relationship both domestic and internationally with their technology and now with our technology to take their fair share of that market to help grow not only Delphi’s network but RoninCast’s network. So I’d be hard-pressed to give you a number but I just believe the partnership will be successful I’m convinced to that and I think Delphi has worked extremely hard to grow that business.
Jack Frid – Discovery Investments: And as long as you talking Delphi again can you talk about the topper where is the
Scott Koller: They have a hardware offering and they have deployed in lots of locations percentage on top of our gas in gasoline stations in community stores. It’s a seamless transition to use RoninCast to deliver content to that application and they continue to pursue that as well and they do have opportunities in that arena. And again that’s a very scalable arena. If you think about a number of gas stations and community stores that have gas pumps. So no it’s a priority for them and they are going after it.
Jack Frid – Discovery Investments: Yeah, just a quick question again with the screen in top of the gas pump in the gas stations I guess what they have in sight for special and/or outside advertisers that want to advertise their products while we’re standing there pumping gas at $4 a gallon.
Scott Koller: Absolutely I mean you have a captive audience. We know the community stores have a desire to get you from the pump into the store for the higher margin products so there is the application. And then again we have a captive audience so there is opportunity to do outside advertising as well.
Jack Frid – Discovery Investments: One last question and then I’m done KFC can you give us an update on them?
Scott Koller: Well on our last call we talked about that we are taking our existing locations and upgraded them to the latest RoninCast 4.0 that was very successful. We’re working with KFC on a couple of other initiatives as well and again we continue to be a valued vendor to KFC. I believe we will see scale sometime in the future. However, at this point I don’t have really anything else to comment on there.
Jack Frid – Discovery Investments: Okay. Thank you, Scott.
Scott Koller: Thank you, Jack,
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Dwayne, private investor. Please go ahead
Unidentified Analyst: Hello?
Scott Koller: Dwayne?
Unidentified Analyst: Thanks for taking my question here. Can you hear me?
Scott Koller: Yes, we can hear you.
Unidentified Analyst: Okay I am clearly not a software or a computer expert but I’d like you guys to explain why Polaris and ARAMARK and all these other billion dollar companies choose to do business with you is it because software is that good compared to the competition?
Scott Koller: I think we have a very good software offering and I think we wrap around very comprehensive and quality list of sources around specifically our content or contextual content and our ability from the network operation center to host those notes. If you look at the space it’s highly fragmented, there is an awful lot of small players. So the odds are there anybody is doing something in marketing technologies they are working with the smaller company. Our software is good, we’ve spent a lot of our resources, time and money to make sure that it is robust and with the release of 4.2 I think it will truly be an omni-channel marketing packet. So yeah I think we do a very good job I think one thing you can say Dwayne and you’ve followed the stock for a long time is we’ve had very little attrition if no none of our big clients ARAMARK has been with us long time, Chrysler, Thomson Reuters KFC if we were not providing quality software and services they would be probably looking elsewhere.
Unidentified Analyst: Okay. Are you going to reduce your staff will this affect your competitive edge?
Scott Koller: No it was really more of consolidation I mean we put a large investment software over the last two and half years since changing our strategy with the release of 4.2 there will not be the same demand for new functionality for at least a window of opportunity there. We’ve consolidated some rules and there was other non-personnel costs. So the biggest things that the executive team and the board talked about is we could not put at risk our ability to service our key clients and we don’t believe we did.
Unidentified Analyst: It appears we are making some progress with the big huge billion dollar companies but we need some big more orders
Scott Koller: Absolutely
Unidentified Analyst: Are they coming?
Scott Koller: We work very hard every single day to grow the business. We have ourselves now breakeven as Darin has pointed out is probably 11 million or less and that’s very doable. We do not have to roam get and get very, very successful. So we work extremely hard as you with Chesters as you with Delphi or Polaris who continue to bring very quality menu and client and as we continue to work with Chrysler ARAMARK there is an opportunity to grow our businesses for our existing clients. So we’re bringing them in (inaudible) we have a marking list of customer who are working with they are very solid menus and yes as we grow with them the company will grow.
Unidentified Analyst: Good that sounds really good. Well thank you.
Scott Koller: Thank you, Dwayne.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of (inaudible) Russell Whitener Private Investor, please go ahead
Unidentified Analyst: Hello
Scott Koller: Hi.
Unidentified Analyst: Hi, guys doing a great job and I’m a private shareholder when I hear the list of clients that you guys work with its who’s who of very high profile name. However when I go to your website and I look I would think it has all these logos and emails everywhere so people couldn’t know just what high profile clients you’re working with. I was curious who does your public relations and what is the – I know you have competitive issues and confidentiality and things like that but I’m wondering why you don’t promote these high profile names by putting these logos on your site more front and center in the press releases with all these names just getting just a higher profile for the public relations for wireless runners, seems like you’re under marketed be quite honest. And also I am curious, part of the second question on Samsung, you had a big stock price jump that day when there was an announcement I don’t know if you mentioned what’s going on there but if I’m repeating sorry but curious about that.
Scott Koller: Alright well first off we continuously push to get as much PR out as we can. Our clients have their confidential reasons for not announcing they are putting new technology in their stores However, we push continuously to be as transparent to our investors as we can. On the other note I will take the I will take the idea back to marketing, we will talk about may be giving those logos on the website. I haven’t been for competitive reasons a big fan of doing that However as I sit here and think we talked about them pretty openly on the call so there is no secret who we’re dealing with. So let me send that to marketing for advisement. And then for the third point I believe there is an opportunity to mark ourselves more broadly. We’re trying to leverage our resources as best as possible. We don’t have a very large marking budget but again thank you for the input and I’ll advise the market and what we can do to be a little bit more pro-active there.
Unidentified Analyst: That’d be great. I think having those high profile names front and center would be go a long way okay?
Scott Koller: Thank you.
Unidentified Analyst: Anything on Samsung?
Scott Koller: The Samsung one yeah I mean the announcement is that generated the day of activity if you will was an announcement that our software to utilize their hardware and their firmware to eliminate media player to play robust content. That was the announcement and that we would be displaying that in their booth at GSP. We are doing deployments and continue to work with Samsung to utilize them where the content fits the application, where we can eliminate media player and use other technology. It’s a new technology and when the application is right we’re quoting that device. I mean that’s about it. I mean right now they are a hardware provider we use it when we can for the application.
Unidentified Analyst: Okay. Thanks.
Scott Koller: Okay. Thanks Russell. Appreciate it.
Operator: Thank you. [Operator Instructions]. Our next question is a follow up from Jack Frid with Discovery Investments. Please go ahead.
Jack Frid – Discovery Investments: Just following up on the Samsung here on the immediate player that’s going to be tremendous advantage I would think QSRs if in the feature as they want to put up the screens and the screens are Samsung’s and other manufacturer’s that don’t have that that’s got to be that media players $700
Scott Koller: The media players are coming down at the price bid but at the same time the reason why we’re so exciting continuing to be excited about it we believe it is a competitive advantage. When if the network is acceptable for that type of hardware and the content specifically depends on the content being played not all types of content can go on that application as we see with media players. There is some limited type of content we can play on that. And again it’s a new product so there is still some discoveries being done but yes in Win we can use it is in lot of applications it is a competitive advantage that capital cost of the media player so absolutely.
Jack Frid – Discovery Investments: Okay, thank you again.
Scott Koller: Thanks Jack.
Operator: Thank you. [Operator Instructions]. And at this time this concludes our question and answer session. I would like to turn the call back over to Scott Koller, President and CEO for closing remarks.
Scott Koller: I want to thank everyone for joining us on the call today. I especially want to thank our investors for their continued support and patience as we continue to build Wireless Ronin into an industry leading digital marketing technologies provider. And we look forward to updating you on our next call. Thank you very much.
Operator: Thank you. Ladies and gentlemen that does conclude our conference call for today. Thank you for participation. You may now disconnect.